Executives: Diane Dayhoff - Vice President-Investor Relations Craig A. Menear - Chairman, President & Chief Executive Officer Edward P. Decker - Executive Vice President-Merchandising Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services Bill Lennie - Executive Vice President-Outside Sales & Services Kevin Hofmann - Senior Vice President & President-Online, The Home Depot, Inc. Mark Holifield - Executive VP-Supply Chain & Product Development
Analysts: Peter S. Benedict - Robert W. Baird & Co., Inc. (Broker) Christopher Michael Horvers - JPMorgan Securities LLC Simeon Ari Gutman - Morgan Stanley & Co. LLC Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker) Michael Louis Lasser - UBS Securities LLC Seth M. Basham - Wedbush Securities, Inc. Jessica Schoen Mace - Nomura Securities International, Inc. Daniel Thomas Binder - Jefferies LLC Matthew J. Fassler - Goldman Sachs & Co. Scot Ciccarelli - RBC Capital Markets LLC Kate McShane - Citigroup Global Markets, Inc. (Broker) Gregory Melich - Evercore ISI
Operator: Good day, ladies and gentlemen, and welcome to The Home Depot fourth quarter and fiscal 2015 earnings call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Diane Dayhoff, Vice President of Investor Relations. Please go ahead, ma'am.
Diane Dayhoff - Vice President-Investor Relations: Thank you, Nicole, and good morning to everyone. Joining us on our call today are Craig Menear, Chairman, CEO and President; Ted Decker, EVP of Merchandising; and Carol Tomé, Chief Financial Officer and Executive Vice President Corporate Services. Following our prepared remarks, the call will be open for analyst questions. Questions will be limited to analysts and investors and as a reminder we would appreciate it if the participants would limit themselves to one question with one follow-up please. If we are unable to get to your question during the call, please call Investor Relations department at 770-384-2387. Now before I turn the call over to Craig, let me remind you that today's press release and the presentations made by our executives include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, the factors identified in the release and in our filings with the Securities and Exchange Commission. Today's presentations may also include certain non-GAAP measurements. Reconciliation of these measurements is provided on our website. Now, let me turn the call to Craig.
Craig A. Menear - Chairman, President & Chief Executive Officer: Thank you, Diane, and good morning, everyone. Fiscal 2015 was a record year for our company. We achieved sales of $88.5 billion, the highest in company history. We also recorded the highest net earnings in company history and fiscal 2015 earnings per share grew 15.9% to $5.46. Sales for the fourth quarter were $21 billion, up 9.5% from last year. Comp sales were up 7.1% from last year and our U.S. stores had a positive comp of 8.9%. Diluted earnings per share were $1.17 in the fourth quarter. Our strong sales performance was driven by continued moderate housing recovery, exciting merchandising events, solid execution and a benefit from favorable weather. We continue to see broad-based growth across the store and our geographies. All three of our U.S. divisions posted positive comps in the fourth quarter led by our southern division which posted low double-digit comps. While our northern and western divisions recorded high single-digit comps. In all 19 U.S. regions and top 40 markets saw mid-single to low double-digit comps in the quarter. Internationally, our Mexican and Canadian businesses had another quarter of solid performance. Mexico reported positive double-digit comps in local currency, making it 49 consecutive quarters of positive comp growth. Our Canadian business also posted high single-digit comps in local currency for a total of 17 consecutive quarters of positive comp growth. Canada ended the year with sales over $7 billion in local currency reinforcing our position as the number one home-improvement retailer in Canada. I would like to congratulate Jeff Kinnaird who was recently promoted to President of Home Depot Canada. Jeff is a 19-year Home Depot veteran with strong operational and merchandising experience which has allowed him to be instrumental in our success in Canada. While there was strength in seasonal holiday decor, gift center, and Black Friday events, core categories were also a strong contributor to our performance. Both ticket and transactions grew in the quarter. As Ted will detail, all of our merchandising departments posted positive comps and we saw healthy balance of growth among both Pro and DIY categories, with Pro outpacing our DIY business in the U.S. You will recall during the third quarter, we completed the acquisition of Interline Brands, a leading national distributor of maintenance repair and operations or MRO products. We told you that in the second 90 days of integration, would be about building out specific business cases. We are moving forward on a number of exciting sales driving initiatives that have been identified through this process. For example, we will soon begin offering our exclusive paint brands to Interline's multi-family operators. We have a good sense of what we need to accomplish over the next 18 to 24 months in order to fully realize the value of the Interline acquisition and the total Pro opportunity. The retail environment is evolving and the blending of the digital and physical worlds remain a common theme. We are responsive to these trends, building out our interconnected capabilities and investing in content, site improvement and improved mobile experiences to solve for a frictionless customer experience. We continue to see healthy sales from our digital business, while also seeing year-over-year improvement in customer satisfaction scores. For the year, our online business grew by approximately $1 billion, a growth rate of over 25% versus the prior year. A significant portion of this online growth leverages the physical store assets that we have as over 40% of our online orders are picked up in stores. This is a testament to the power of our interconnected strategy. At our December investor conference, we highlighted our plans to further optimize our supply chain through what we call supply chain synchronization or Project Sync. We have been piloting Project Sync in Houston for some time and have now begun to roll out in a few other regions. Though it is early days, we have seen benefit in transportation savings, inventory turn and a reduction in product lead times. We appreciate the efforts of our cross functional teams internally, as well as the increased collaboration with our external partners as all parties involved are working together to develop and adopt engineered flow schedules that serve as the foundation of Project Sync. Turning to the macro environment, while 2016 consensus U.S. GDP growth projections have moderated, we continue to see positive signs in the housing data with home price appreciation, housing turnover and household formation being the key drivers of growth for our business. We expect 2016 comp growth of approximately 4.5%. Carol will take you through the details, but currency headwinds could result in lower total company comp growth. Therefore, we expect total company comp growth of approximately 3.7% to 4.5% and corresponding diluted earnings per share of $6.12 to $6.18. Today, our board announced a 17% increase in our quarterly dividend to $0.69 per share. We remain committed to maintaining a disciplined capital allocation strategy to create value for our shareholders. We will invest to sustain and grow our business and return excess cash to our shareholders through dividends and share repurchases. The power of The Home Depot begins with our company's strong culture and commitment to values. I want to thank our associates for their hard work and dedication to our customers. And I'd also like to congratulate Ann-Marie Campbell, who was recently promoted to Executive Vice President of U.S. Stores. With more than 30 years with the company, Ann-Marie brings a deep understanding of Home Depot's operations, culture, and customers to the role. Based on this quarter's results, 100% of our stores qualified for Success Sharing, our profit sharing program for our hourly associates. This is our largest second-half payout to date, and we look forward to continuing this momentum in 2016. And with that, let me turn the call over to Ted.
Edward P. Decker - Executive Vice President-Merchandising: Thanks, Craig, and good morning, everyone. We were pleased with our performance in the fourth quarter, as sales exceeded our expectations. We saw strength across the entire store as well as continued growth in our online business. Sales were aided by milder weather and great events, including the strong Black Friday and gift center. All of our merchandising departments posted positive comps. Appliances, tools, building materials had double-digit comps in the quarter. Lighting, plumbing, hardware and indoor garden were above the company average, and decor was in line with the company average. Outdoor garden, millwork, lumber, kitchen and bath, paint, electrical, and flooring posted mid-single-digit positive comps. Pro-heavy categories saw significant growth during the quarter, as we saw double-digit comps in siding, pneumatics, circuit protection, fencing, fasteners, and exterior doors. Our recent assortment update in roofing continues to drive excellent results, as we saw double-digit comps in roofing in the fourth quarter. And we continue to see strength in core maintenance and repair categories, with double-digit comps in pumps, security lighting, water heaters, electrical tools, construction adhesives, ladders, and caulks. Cleaning, bath fixtures, door locks, and pipe and fittings also had comps above the company average. We believe that more favorable weather trends in the quarter aided sales growth by approximately $100 million. Our customers took advantage of the milder weather and were able to complete more outdoor projects. For example, we saw double-digit comp sales in pressure washers, hardscapes, mowers, outdoor power, concrete, and pressure-treated decking. Black Friday, gift center, and storage events provided great values and were well received by our customers. Our strong Black Friday helped drive double-digit comps in categories like portable power and appliances. Our gift center performed extremely well, and we saw double-digit comps in tool storage, power tool accessories, and hand tools. In addition, our associates rallied behind our decorative holiday offering, resulting in comps above the company average. In the fourth quarter, total comp transactions grew by 5%. And for the year, we set a new transaction record with over 1.5 billion total transactions. In the quarter, comp ticket increased 2%. Our comp ticket increase reflects about 32 basis points of contraction due to commodity price deflation in products such as lumber and copper. Transactions for tickets under $50, representing approximately 20% of our U.S. sales, were up 3.8% for the fourth quarter. Transactions for tickets over $900, also representing approximately 20% of our U.S. sales, were up 11.9% in the fourth quarter. The drivers behind the increase in big-ticket purchases were appliances, roofing, and special-order kitchens. Big-ticket was also driven by several installation service categories such as roofing, sheds, and countertops. Now, let me turn our attention to the first quarter. In our ongoing effort to update and refresh our assortments, we will be resetting our door lock assortment in the first quarter. Using our assortment planning tools, we were able to more effectively cluster our door lock assortment around styles, finishes, and brands. In addition, we have a new merchandising approach that highlights our brands and their complete collections. Our reset will include great innovative products such as the Schlage Connect and Kwikset 915 electronic locks. For our Pro customer, we are introducing new and exclusive products from Milwaukee, DEWALT, Ryobi, and RIDGID, all leaders in professional tools. The new Milwaukee M18 FUEL with ONE-KEY is a revolutionary technology that provides users the ability to control tool settings, track the location of their tools, and manage their tool and equipment inventory with their wireless devices. This innovative technology gives our Pro customers the trusted power of the Milwaukee brand with added benefits to make them more productive. Among big-box retailers, the Milwaukee M18 FUEL with ONE-KEY can only be found at The Home Depot. In addition to great new products, we are gearing up for the spring selling season. We are excited about our exclusive grill offers from Weber, Nexgrill, and KitchenAid. And our large assortment online offers numerous options from infrared gas grills to smokers. Our patio assortment continues to expand, including new dining set designs from Hampton Bay and enhanced offering of patio accessories. For the gardener, we are excited about our expanded selection of exclusive organics from Dr. Earth and Black Magic. Our spring Black Friday event will once again offer amazing values for our customers. The stores will be loaded with exciting products and exclusives on items like live goods, grills, and outdoor power equipment. We're looking forward to a great spring season. With that, I'd like to turn the call over to Carol.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Thank you, Ted, and good morning, everyone. In the fourth quarter sales were $21 billion, a 9.5% increase from last year. Comp sales were positive 7.1% for the quarter, with comps up 6.3% in November, 8.6% in December, and 6.7% in January. The continuing strength in the U.S. dollar negatively impacted total company comps in the quarter by approximately $350 million, or 1.8%. Comps for U.S. stores were positive 8.9% for the quarter, with comps up 8.1% in November, 10.6% in December, and 8.2% in January. For the year, our sales increased 6.4% to $88.5 billion, and total company comp sales were positive 5.6%. Comps for U.S. stores were positive 7.1%. During the year, a stronger U.S. dollar negatively impacted sales growth by approximately $1.4 billion, or 1.6%. Our gross margin was 34.1% for the fourth quarter, a decrease of 24 basis points from last year and in line with our plan. The change in gross margin was driven primarily by the following factors. First, we experienced 15 basis points of gross margin expansion due to productivity within our supply chain and lower fuel costs. Second, we had 26 basis points of gross margin contraction due to the impact of Interline Brands. And third, we had 13 basis points of gross margin contraction due to a change in the mix of products sold, including a higher penetration of lower margin product categories like appliances. For the year, we experienced six basis points of gross margin expansion. In the fourth quarter, operating expense as a percent of sales decreased by 96 basis points from last year to 22%. Our operating expenses were $90 million over our plan. We had some unexpected expenses associated with store maintenance, snow removal, and our data breach. Further, given our sales outperformance to plan, we increased our pool for management bonus and Success Sharing. For fiscal 2015, our operating expense as a percent of sales was 20.9%, a decrease of 65 basis points from fiscal 2014. Our operating margin for the fourth quarter was 12.1% and for the year was 13.3%. In the fourth quarter interest and other expense was $236 million, an increase of $138 million from last year. The year-over-year increase reflects two items. First, last year we recorded a $111 million pre-tax gain on the sale of HD Supply common stock that did not repeat this year. And second, interest expense was $29 million higher than last year due primarily to higher long-term debt balances. Our income tax provision rate for both the fourth quarter and fiscal 2015 was 36.4%. Diluted earnings per share for the fourth quarter were $1.17, an increase of 11.4% from last year. For the year, diluted earnings per share were $5.46, an increase of 15.9% compared to fiscal 2014. Now moving to some additional highlights, during the fourth quarter we opened one new store in Mexico bringing our total store count at the end of the year to 2,274 stores. At the end of the year, selling square footage was 237 million, up slightly from last year. And sales per square foot increased 5.2% to $371. At the end of the year, inventory was $11.8 billion up $730 million from a year ago. On a currency neutral basis, inventory dollars grew by $872 million. Inventory turns were 4.9 times up from 4.7 times last year. Payables grew $758 million from last year. On a currency neutral basis, payables were up $834 million. Moving on to capital allocation. In 2015 we generated approximately $9.4 billion of cash from operations. And used that cash, as well as proceeds from $4 billion of incremental long-term debt issuances, to invest in our business, to repurchase our shares and pay dividends to our shareholders. During the year, we invested approximately $3.2 billion back into the business through capital expenditures and the acquisition of Interline Brands. Further, we repurchased $7 billion or approximately 59 million of our outstanding shares, including $2 billion or 16.2 million shares in the fourth quarter. Finally, we paid $3 billion in dividends. Our capital allocation philosophy supports our commitment to deliver high returns on invested capital. Computed on the average of beginning and ending long-term debt and equity for the trailing four quarters, return on invested capital was 28%, 310 basis points higher than at the end of fiscal 2014. One more comment on capital allocation. Earlier this month, we refinanced approximately $3 billion of our long-term debt that is coming due in March 2016. This morning we issued a press release with our guidance for fiscal 2016. I want to take a few moments to comment on the highlights. Remember that we guide off of GAAP, so fiscal 2016 guidance will launch from our reported results for fiscal 2015. As we look to 2016, we are projecting total company comps of approximately 4.5%. Our comp forecast is based on U.S. GDP growth estimates of 2.1% plus continued recovery in the housing market. With the benefits of five new stores and a full year of sales from Interline Brands, we project total sales growth of approximately 6%. Our 2016 sales forecast is based on 2015 average U.S. dollar foreign exchange rates. The U.S. dollar is currently stronger than the average exchange rate. As a result, we are providing a range of sales, comp sales and diluted earnings per share growth to reflect the difference between 2015 average exchange rate and current exchange rates. If currency exchange rates remain where they are today, this would cause a negative impact to fiscal 2016 net sales growth of approximately $800 million, dropping our projected total sales growth rate from 6% to 5.1% and our projected comp sales growth from 4.5% to 3.7%. As we discussed during our December investor conference, we are planning our gross margin rate to remain flat to what we reported in fiscal 2015. We don't expect our gross margin rate to be materially impacted by exchange rates. On a currency-neutral basis, we are forecasting our expenses to grow at approximately 40% of the rate of our sales growth rate less than what we experienced in fiscal 2015 as we had $128 million of net breach-related expenses in fiscal 2015 that should not repeat in 2016. For the year, we project that our operating margin will grow by approximately 70 basis point. We don't expect our operating margin to be materially impacted by exchange rates. For the year, we anticipate our income tax provision rate to be approximately 37%. We expect our diluted earnings per share to increase by approximately 13% to $6.18, but if exchange rates remain where they are today, our projected diluted earnings per share would be approximately $6.12. Our earnings per share guidance includes our plan to repurchase approximately $5 billion of outstanding shares during the year using excess cash. For the year, we project cash flow from the business of roughly $10 billion. Our 2016 capital spending plan is approximately $1.64 billion, a 9% increase from what we spent in fiscal 2015 in support of our strategic initiatives and to maintain our aging store base. We'll also use our cash to repurchase $5 billion of shares and pay $3.4 billion of dividends. As Craig mentioned, we just announced a 17% increase in our quarterly dividend which equates to an annual dividend of $2.76 in line with our targeted dividend payout ratio of 50%. Our commitment to shareholder returns continues to be a hallmark of The Home Depot. So we thank you for your participation in today's call. And, Nicole, we are now ready for questions.
Operator: Thank you. We'll take our first question from Peter Benedict from Robert W Baird.
Peter S. Benedict - Robert W. Baird & Co., Inc. (Broker): Hey, guys. Thanks for taking the question, first question just an accounting one, I guess. How are you going to deal with the Interline Brands sales as we move through 2016? Once we anniversary that, do those go into the comp base, or are they going to be separate?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Yes, Peter, we're going to put Interline into our comp base. We think it's important to operate as one Home Depot. So as a result, as you think about the shape of the year, the comps in the back half of the year will be higher than the comps in the first half of the year.
Peter S. Benedict - Robert W. Baird & Co., Inc. (Broker): Okay, perfect. That's helpful. And then the numbers don't seem to suggest you've seen any impact from the wealth affect whether it be the energy markets or the stock market. I mean, obviously everything at big ticket very strong, but as you peel back the information, is there anything you're seeing in terms of consumers may be starting to pull back on any of the higher ticket stuff, again the consolidated numbers don't seem to suggest that? Thank you.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Peter, we're not seeing that. Our business was good and continues to be good.
Peter S. Benedict - Robert W. Baird & Co., Inc. (Broker): Okay, great. Thanks very much.
Operator: We have Chris Horvers from JPMorgan.
Christopher Michael Horvers - JPMorgan Securities LLC: Thanks, good morning and fantastic quarter.
Craig A. Menear - Chairman, President & Chief Executive Officer: Good morning, Chris.
Christopher Michael Horvers - JPMorgan Securities LLC: I'm trying to understand the underlying tenor of demand you mentioned about $100 million lift to comps from weather, looks like about 50 basis points was weather benefit across all three months or was it mainly a November and December impact?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: If we look at our comp performance, we saw double-digit pop in the U.S. in December and that was really weather driven. December was the warmest month on record in 121 years. And Ted, didn't we see a lot of strength in outdoor categories?
Edward P. Decker - Executive Vice President-Merchandising: Yes, so clearly both our Pros and consumers were able to continue with outdoor projects. But really we're seeing comp continue to be strong across the entire store. And while we appreciate the $100 million-odd benefit from weather, we don't look at this as a weather story in our fourth quarter.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Goodness no, we grew our sales by $1.8 billion, so $100 million of growth on $1.8 billion is not a weather story.
Craig A. Menear - Chairman, President & Chief Executive Officer: And it's geography as well, Chris. We saw strength across really all the markets.
Christopher Michael Horvers - JPMorgan Securities LLC: Understood. And then do you look at that $100 million as a pull forward, and sticking with the weather, being the first and second quarter tend to be volatile, so how are you thinking about that $100 million, and how are you thinking just how perhaps the spring plays out. I know it's easier to look at on the halves, but as we model out the quarters, how are you thinking about the first versus the second quarter?
Craig A. Menear - Chairman, President & Chief Executive Officer: Chris, generally you don't see a pull forward from Q4 into Q1 or vice versa. Generally, it plays the bathtub effect between first quarter and second quarter as spring breaks, so we don't believe it's a pull forward.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: As we built our plan, we did build the first quarter as the lowest comping quarter for the year, but that's principally because as we exited the year, as Ted commented, we had commodity deflation in our sales. That commodity deflation continues into the first quarter, so we built the plan to reflect this.
Christopher Michael Horvers - JPMorgan Securities LLC: Thanks very much.
Operator: And we will take our next question from Simeon Gutman from Morgan Stanley.
Simeon Ari Gutman - Morgan Stanley & Co. LLC: Thanks, good morning, nice quarter.
Craig A. Menear - Chairman, President & Chief Executive Officer: Good morning.
Simeon Ari Gutman - Morgan Stanley & Co. LLC: For Craig or Carol and following on this theme, this was I think the second strongest U.S. comp since the housing recovery for Home Depot, and it comes when other things in retail are getting a little shaky. We talked about weather a little bit. But can you give us examples that you can share of any housing markets that may be longer in the tooth of recovery that just continue to chug along?
Craig A. Menear - Chairman, President & Chief Executive Officer: Actually, the overall variability that we saw in the quarter by market was directly in line with what we saw last year. And you do get a little bit more market variation as you're in winter months based on how winter breaks. So really, there's not a lot of big variability.
Simeon Ari Gutman - Morgan Stanley & Co. LLC: Got it, so just underlying strength. And then I may have missed this in the prepared remarks. But on Interline, can you share with us how it performed versus expectations, anything on sales or margin? And I realize it's early and I don't think – a lot of the integration is just getting started, but do you have a sense of how much overlap there is with the Pro, your Pro and spending on Interline Brands maybe outside of the Home Depot today?
Craig A. Menear - Chairman, President & Chief Executive Officer: We're obviously in the early days of the integration efforts. And we have worked hard across – as we shared, we have a common vendor base. We're working through the programs with our vendors. We have reduced redundancy in the business, and now we're really getting into more of the focus on the sales side of it and the sales driving initiatives. As we called out, we're excited about the fact that we'll begin to sell our paint brands to the multi-family operators in the Interline company. Bill Lennie is here and he might want to comment. We're starting to see some success in crossover, but it's very early days.
Bill Lennie - Executive Vice President-Outside Sales & Services: No, it is. We have seen some wins on some initial account engagements. And so what that does, it really validates what we see as the value of the Interline acquisition. It's just that synergy about being able to sell across channel. And then as Carol articulated, we're working on that vision of one Home Depot that allows our customers to shop either in store, online, or through Interline, and having greater access to a broader range of goods.
Simeon Ari Gutman - Morgan Stanley & Co. LLC: Okay, thanks.
Operator: And we will take our next question from Seth Sigman from Credit Suisse.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Thanks, guys. Good morning and congrats on the quarter.
Craig A. Menear - Chairman, President & Chief Executive Officer: Thank you.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): I wanted to just follow up on that last question, but specifically on gross margin. Carol, you're guiding to flat gross margin, which is pretty consistent with everything you've said before. Obviously, Interline has a little bit of a near-term impact on that despite lower SG&A. Once you anniversary the inclusion of Interline, how do you think about the gross margin opportunity from either synergies with Interline or continued supply chain benefits or even lower input costs that some suppliers have talked about? And I guess what do you see as the offset to that? Thanks.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Sure. As Craig mentioned, it's really easier to look at our business by half. So as you think about gross margin for 2016, the first half, because of the impact of Interline, will be down year on year. The back half will be up year on year. The back half will be up year on year because we'll be anniversarying Interline, and we'll see the benefits of productivity. We've talked to you in the past of our ongoing efforts to drive productivity within our cost of goods. We have a cost-out team that we set up several years ago that works directly with Ted and the merchants to drive productivity and first cost, which is our largest cost pool. You've seen us drive incredible productivity in our supply chain. For the year, we had 20 basis points of expansion coming off of supply chain. This productivity that we are driving to our business allows us to invest in lower-margin categories, not only Interline, but lower margin categories like appliances and other categories that haven't fully recovered since the downturn. So we feel very confident of the gross margin guidance that we've given for 2016.
Craig A. Menear - Chairman, President & Chief Executive Officer: Seth, I'd also – the comment that I'd make, we shared at the investor conference that our approach is to really look at the end-to-end value chain and drive deeper collaboration with our vendor partners. And as we work through this with key suppliers, as Ted and I talk to them, we're confident, and likewise so are they that there's opportunity to take cost out of the entire value chain, which will benefit not only The Home Depot customer in terms of greater value, the shareholder, but also our vendor partners in terms of driving profitability for them as well.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Okay, thanks for that. That's very helpful, maybe just one follow-up question on Canada, which has come into focus recently. Can you just elaborate on the performance in Canada, and maybe more importantly, how the position of Home Depot has evolved there over time? And how are you thinking about perhaps more capital being deployed there by others in the sector?
Craig A. Menear - Chairman, President & Chief Executive Officer: We're actually very pleased with our performance in Canada. Before bringing Bill back, he did an amazing job in Canada, and Jeff and the team will continue that effort. We have made significant capital investments in Canada, not only in our stores with the experience that our customers have in store, but also in our website as we've re-platformed our website and continue to develop our interconnected strategy for Canada, as well as a significant investment in our supply chain, deploying our strategy that we developed here in the U.S. into Canada as well. So we're looking forward to continued opportunity to serve our Canadian customers.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: And I might just throw in from a store footprint perspective, we have 182 stores in Canada where we want the stores to be. So we're very pleased with our store footprint.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Thanks so much for the color.
Operator: And we'll take our next question from Michael Lasser from UBS.
Michael Louis Lasser - UBS Securities LLC: Good morning. Thanks a lot for taking my question. It seems like one of the biggest surprises in the fourth quarter was the amount of market share that you were able to grab. And that's not even accounting for some of your non-traditional competitors like department stores. That's just your building material flows. So do you have a sense like where it's coming from? Are you seeing capacity come out of this system from some of your traditional competitors and that maybe enabling you to gain share? Or have you altered the way you do business such that these share gains are accelerating?
Craig A. Menear - Chairman, President & Chief Executive Officer: Well, I'd say that certainly it's something that we focus on all the time. The customer is clearly investing in our space, so we're in a good asset class as it relates to housing. But incredibly proud of the team's efforts, whether that is the merchants to be able to deliver incredible values, our stores and our online team to be able to execute against that, our supply chain team that delivered, and the nimbleness of our supply chain to be able to react to kind of both weather patterns that happened during the quarter. Just really, really pleased with the effort that the team put forth in total.
Michael Louis Lasser - UBS Securities LLC: Do you have a sense whether your share gain, and it would seem to suggest based on your commentary about the different business segments, whether your share gains were larger on the Pro side than they were on the consumer side? I'm not including Interline, I'm just talking in the core business.
Craig A. Menear - Chairman, President & Chief Executive Officer: Right. I mean, what I would say is the measure of share is something that's incredibly difficult to get at overall. We do believe we're taking share in the market, but the finite number, it's pretty tough to get at.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: And it really depends on what you're talking about. Looking at double-digit positive, I suspect that was the Pro customer. In fact, we know it's the Pro customer through our consumer insights. Appliances contributed 50 basis points of our comp growth in the quarter. Most of that is consumer. So you really have to look at the category of business and what was driving each.
Michael Louis Lasser - UBS Securities LLC: And can you tie those share gains to some of your Pro initiative like the credit initiative, the Pro Xtra initiative and some of what you've done recently? I think it's important just to get a sense for how long these market share gains can last?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Sure. I'll speak to the private label card perhaps.
Craig A. Menear - Chairman, President & Chief Executive Officer: Sure.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: We just rolled out our new value prop in January, so you really can't attribute the strength in Pro, which by the way grew faster than the consumer in the fourth quarter. You can't attribute that to private-label card, but we're very excited about what that new private-label card is offering to our Pro customers. As you know 60 days to pay, fuel rewards, 365 day returns, its early days but we are liking what we see, our new accounts are up over our target. Our Pros are enjoying on average $25 off at the pump when they're using their fuel reward card, so we really like what we're seeing and we think that's going to bode well for 2016. So you can't attribute that, but some of the other initiatives that we've introduced are really helping drive the business.
Craig A. Menear - Chairman, President & Chief Executive Officer: Yeah, Michael, what I think is happening and we're just very pleased with the performance across all the categories, is we are focused on having the right brands, the right assortments; we've done a lot of work. We've talked about our assortment planning tools, we feel we have the right line structure in the store with right brands in the right price points. We're focused on everyday value and convenience for our Pro and our consumer customers and I think this is resonating.
Michael Louis Lasser - UBS Securities LLC: Thank you so much, good luck.
Craig A. Menear - Chairman, President & Chief Executive Officer: Thank you.
Operator: And we have a question from Seth Basham from Wedbush Securities.
Seth M. Basham - Wedbush Securities, Inc.: Thanks a lot, and good morning.
Craig A. Menear - Chairman, President & Chief Executive Officer: Good morning.
Seth M. Basham - Wedbush Securities, Inc.: Just to follow up on Michael's question, as you think of 2016 and your comp forecast, ex Interline, would you expect the Pro to be a larger driver of your comps in 2016 than 2015?
Craig A. Menear - Chairman, President & Chief Executive Officer: I think we're focused on actually growing all of our segments. We're focused on growing the Pro customer, the DIY customer, the do-it-for-me customer as well as our digital customer. And so we haven't really thought about it as one being radically outsized versus the other. We look at transactions and ticket as a balance of growth as well.
Seth M. Basham - Wedbush Securities, Inc.: Got it. A follow up. As you think about the composition of traffic and ticket into 2016, you're looking for a balance, what does that dictate in terms of your expectations for the housing market? Do you expect housing prices and turnover to be about in line with 2015 or do you expect any change?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: We actually expect some changes. So let me walk you through those changes if I may. First what I'm going to do is walk you from where we exited in the U.S., a comp of 7.1% to the guidance of 4.5%. That's a 260 basis point delta and the drivers of that are threefold. First it starts with GDP, we're using GDP growth forecast of 2.1%, GDP in the United States in 2015 was 2.4%, so those 30 basis points coming off the top because of slower GDP. Secondly, on home prices, we anticipate home prices to be up next year 3.5%, that's good. It's down from the growth that we experienced in 2015 of 5.4%, so that's another 30 basis points of growth coming off the top. And then there's 200 basis points of market share coming off because we don't feel market share into our growth forecast. So that gives you 4.5% comp estimate for 2016. A few other housing numbers since you asked, I gave you the home price estimate that we're using, we anticipate housing turnover to be up 4.4% of units, household formation to be up considerably, we're forecasting 1.9 million household forms, that's up a lot this year it was about 1.3 million households. The other thing is that we're really spending time trying to get a better understanding is the impact of the age of the housing stock. As you know 65% of the homes in the United States are older than 30 years and there's external research that shows that spending on older homes is higher. John Burns would suggest it's something like 7.5% higher, our own internal research suggests it's 8% higher, so this aging housing stock bodes very well for us. And if we could take you back to the last mild recession, and I'm talking a lot here and I apologize, but if I take you back to the last mild recession of 2001, the housing stock was a lot younger 10 years ago. So this is a good new story for us.
Seth M. Basham - Wedbush Securities, Inc.: Got it. That is a good new story. And just one last follow up. Obviously, you don't factor in market share gains, but anything execution wise that you think will change that could impact the market share gain trajectory in 2016?
Craig A. Menear - Chairman, President & Chief Executive Officer: No, I mean, we're going to continue to focus on what we've been doing. So, no. I don't see any major change.
Seth M. Basham - Wedbush Securities, Inc.: Great, thank you and good luck.
Operator: And we have a question from Jessica Mace from Nomura Securities.
Jessica Schoen Mace - Nomura Securities International, Inc.: Hi. Good morning and congrats on the good results.
Craig A. Menear - Chairman, President & Chief Executive Officer: Thank you.
Jessica Schoen Mace - Nomura Securities International, Inc.: My first question is about the SG&A guidance. I just wanted to clarify that 40% of sales growth includes the data breach expenses from last year? And if there is anything else we should be factoring in as to why that would be lower than the 50% of sales growth guidance you gave at your analyst day?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: No. I'm confirming that you understand that completely.
Jessica Schoen Mace - Nomura Securities International, Inc.: All right, great. Thank you. And then I had a question on the interconnected retail. You showed some good progress in that channel. What are the other near-term milestones we should be looking for in that channel?
Craig A. Menear - Chairman, President & Chief Executive Officer: We're continuing to clearly roll out the investment we've made in our direct fulfillment centers. So we're continuing to assort those buildings which will give us the capability where we put products across all three buildings to be able to get product to our customers in two business days or less. So you'll see us continue to shrink lead times for our customers. You will continue to see us invest in enhancements through search, visualization as it relates to not only photography, but video for our customers. We know that our customers engage in that. And Kevin Hofmann is here who runs our online business. Kevin, I hope you have additional comments to make to that.
Kevin Hofmann - Senior Vice President & President-Online, The Home Depot, Inc.: Sure. And just to continuing to develop better experiences for our customers. Mobile experiences are a big focus for us as well. And as Craig mentioned, we're also rolling out our buy online, deliver from store functionality through the year. And we think our customers will be excited about that.
Craig A. Menear - Chairman, President & Chief Executive Officer: The great news for us is 40% plus of all the orders that happened in our digital space, our customers choose to pick that up in one of our stores. They're conveniently located, they're safe. They know that the product is going to be there, they don't have to worry about it not being on their doorstep. And that's a great opportunity for us as it drives more traffic to our stores.
Jessica Schoen Mace - Nomura Securities International, Inc.: Great, thank you very much.
Operator: And we have a question from Dan Binder from Jefferies.
Daniel Thomas Binder - Jefferies LLC: Hi, thank you. My question is regarding online. I was wondering if you could give us the growth rate in the quarter? I think you gave us for the year. And what do you think the top two or three things that are helping the strong conversion there?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Yes. Our online sales grew $230 million or 23% in the quarter. For the year, total online sales were $4.7 billion. That's 5.3% of our total sales up from 4.5% from last years. Really pleased with the growth.
Craig A. Menear - Chairman, President & Chief Executive Officer: Kevin, do you want to comment?
Kevin Hofmann - Senior Vice President & President-Online, The Home Depot, Inc.: So key things driving the growth is really what we talked about. Great mobile experiences, great end-to-end interconnected experiences. Our focus is not just the transaction online, but as Craig said, over 40% of our orders actually end up in the store in one way, shape or form. So what we found is a lot of our online experiences are really about tying the customer back to the store side shopping journey. And when we look at the total enterprise conversion rate, just very, very pleased with our progress there. Whether they convert online or whether they convert in the store, that's really the customers' decision. So really great progress, we set all new records during our Cyber Monday event and our Black Friday event, and really, really strong momentum.
Daniel Thomas Binder - Jefferies LLC: And then my follow up, I was just hoping maybe you could comment on a few things. First, what your commodity deflation assumptions are for Q1? What the breakdown was of the $90 million of extra expense in Q4? And what you may be seeing in wage pressures across the company or regionally?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Happy to. So the commodity price deflation pressure, again, we don't forecast future deflation. So our forecast is inflation, deflation neutral, but because we have seen prices come down that has a year-over-year impact. It's about 50 bps in the first quarter. Looking at the breakdown of expenses. Of the $90 million that were over our plan, about one-third of the dollars were related to store maintenance, snow removal and the data breach, the data breach specifically being $9 million. And then the rest was in our bonus and Success Sharing. As Craig pointed out, all of our stores are eligible for Success Sharing. We're going to have the highest second-half payout in our company history, so we're excited about that. And then, Dan, the third question?
Daniel Thomas Binder - Jefferies LLC: It was regarding wage pressure that you may be seeing either regionally or as a company, how it increases and so forth?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Yes, so thank you for that question. As we told you at our investor conference, we do have some people costs coming at us, both in terms of wage pressure as well as higher medical costs due to prescription drugs. All of those pressures have been addressed in the guidance that we have given you.
Daniel Thomas Binder - Jefferies LLC: Great, thank you.
Operator: And we have a question from Matthew Fassler from Goldman Sachs.
Matthew J. Fassler - Goldman Sachs & Co.: Thanks a lot and good morning.
Craig A. Menear - Chairman, President & Chief Executive Officer: Good morning.
Matthew J. Fassler - Goldman Sachs & Co.: My primary question relates to your big-ticket sales trends. That comp growth in tickets of $900 or more, I think, is the second strongest on record on both a one-year and a two-year basis. A couple elements there, you mentioned custom kitchens. I'm just curious whether those megaprojects are gaining more traction. And also, does the Pro growth that you're seeing, and particularly the acceleration in some of the Pro categories doing better, disproportionately impact that big-ticket zone of your sales?
Edward P. Decker - Executive Vice President-Merchandising: I would say, Matt, on big-ticket, we like the progress we're seeing in the momentum. You specifically mentioned the kitchen cabinet business. That was a strong double-digit comp for us. And what's encouraging is the pipeline of quotes in our system are at record highs. And even now after such a strong Q4 going into Q1, we have a very robust pipeline. Just across the whole store, appliances obviously is a big-ticket item that continues to grow. And our service businesses, we have nice traction with our home interiors business and exterior business, whether it's kitchen installs or roofing, siding, windows. So seeing really across the business.
Matthew J. Fassler - Goldman Sachs & Co.: And if it's possible to dissect the acceleration from the 8% growth, really high single digits that you've seen year to date to the 12% number, would you say that either DIY or Pro is disproportionately behind that pickup?
Craig A. Menear - Chairman, President & Chief Executive Officer: Actually, both.
Edward P. Decker - Executive Vice President-Merchandising: The installs, certainly consumer, right?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Appliances, consumer.
Edward P. Decker - Executive Vice President-Merchandising: Appliances, consumer, roofing has a tendency to be Pro.
Matthew J. Fassler - Goldman Sachs & Co.: Great, thank you for that.
Craig A. Menear - Chairman, President & Chief Executive Officer: Matt, the only point on that is as we look at – we talk about our top classes that still haven't recovered from peak. And we're still, as much as we've recovered in aggregate all of the lost sales, there's still $2.5 billion in key categories. And those tend to be bigger ticket items, so special order kitchens, countertops, and all manner of millwork still remain below the 2006 peak. So we're watching ticket carefully, as Carol said. But from all indications, pipelines are strong and sales continue with good momentum.
Matthew J. Fassler - Goldman Sachs & Co.: Great. And then just a couple of cleanup points on the expense line. Carol, you spoke about the impact of Interline on gross margin rate. Can you talk to the impact, if any, on the expense ratio? And then the D&A guidance does suggest a bit of a pickup. Is that primarily related to the deal, or is there something else within that number?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: The D&A pickup is related to shorter-life assets being put into service. We're investing into IT in a big way, and that capital tends to have a shorter life. And the impact of Interline is really reflected in the overall expense growth factor for the quarter. We were around 52%-ish. That's really because of Interline. If you back out Interline, it was more like 40%.
Matthew J. Fassler - Goldman Sachs & Co.: Great, thank you so much.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Yes.
Operator: And we have a question from Scot Ciccarelli from RBC Capital Markets.
Scot Ciccarelli - RBC Capital Markets LLC: Good morning, guys.
Craig A. Menear - Chairman, President & Chief Executive Officer: Good morning.
Scot Ciccarelli - RBC Capital Markets LLC: So a bigger question, I guess two questions technically, on e-commerce. We've obviously seen e-commerce disrupt so many retail sectors. So I guess the two questions are number one, how do you think about the risk of consumers potentially getting increasingly used to shopping for your category, especially with the growth of your own platform online? And then two, in your opinion, what makes home improvement different than what we've seen in so many other retail sectors where the box guys tend to battle market share losses and margin compression over time? Why would you be immune to that in your opinion?
Craig A. Menear - Chairman, President & Chief Executive Officer: I think when you look at the business in total, there's a combination of factors. There are segments of our business – we've shared in the past that we believe the best business model is in the store. And the customers, they're smart, they have a tendency to gravitate to the best business models. And so we think there are elements of things like concrete and soils and mulches that make sense, and that's where the customer will find the best value to purchase the product. There are other categories that are enhanced by the digital experience. As Kevin was just sharing a minute ago, where our customers actually start their shopping experience online, but then finish in store. And then there are clearly categories that are, if you will, at risk to transfer online because whether it's breadth of assortment or ease of shipping. And candidly in those categories to date, for the most part we actually see growth in both channels. And so the digital business in large part has been incremental growth for us, and we see that opportunity to continue.
Scot Ciccarelli - RBC Capital Markets LLC: But do you think there's a risk that as people get more used to shopping at some of those categories that you're terming at risk that you can wind up seeing increased margin compression down the road because obviously that's something we've seen in a lot of other retail segments?
Craig A. Menear - Chairman, President & Chief Executive Officer: We run this as one business as a portfolio. We've built out the capabilities in the tools to give visibility to our merchants to manage this across channels. So it's all built into our forward look that we shared at our investor conference.
Scot Ciccarelli - RBC Capital Markets LLC: Got you, all right. Thanks, guys.
Craig A. Menear - Chairman, President & Chief Executive Officer: Yes.
Operator: We'll take our next question from Kate McShane from Citi.
Kate McShane - Citigroup Global Markets, Inc. (Broker): Hi, thank you. Good morning.
Craig A. Menear - Chairman, President & Chief Executive Officer: Good morning.
Kate McShane - Citigroup Global Markets, Inc. (Broker): My question is on Project Sync. I know that was a big focus of your analyst day and you had mentioned in the prepared comments that it's been rolled out beyond Houston. Can you give us any more detail about where else this has been rolled out to and can you remind us when you see this being completed?
Craig A. Menear - Chairman, President & Chief Executive Officer: It is in the process of rolling out in additional southern areas of the country and this is a multiyear effort.
Kate McShane - Citigroup Global Markets, Inc. (Broker): Okay, thank you. And then my follow-up question was just on exclusivity of product. Again, in the prepared comments I think you said that was a differentiator for the Pro, do you have a percentage of what you're offering or sales percentages is of exclusive products to the Pro customer?
Craig A. Menear - Chairman, President & Chief Executive Officer: Honestly, we haven't calculated that. We talk about our private brands in the 15% to 20% range, but not yet talked about the exclusive products
Kate McShane - Citigroup Global Markets, Inc. (Broker): Okay, thank you.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: We'll go back do the calculations. I don't know what it is.
Craig A. Menear - Chairman, President & Chief Executive Officer: Yeah.
Diane Dayhoff - Vice President-Investor Relations: Nicole, we have time for one more question.
Operator: We will take our final question then from Greg Melich from Evercore ISI.
Gregory Melich - Evercore ISI: Great, thanks. I have two parts to it just to sneak one in. Carol, I just want to make sure I got the SG&A thing right in the guidance. If it's 40% of sales growth we should be taking 40% of 5.5% when we think about SG&A dollar growth, is that right?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: So you should be taking 40% of the sales growth we gave which is 6%.
Gregory Melich - Evercore ISI: Okay. And then the second question is, on working capital. So I hate to end on this, but try to find something wrong with these numbers, inventory was up a lot but payables were up too, what do you have in your $10 billion of cash flow guidance for working capital on 2016? And do you feel good about inventories where they are? Are they too hot, too cold, just right?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: So our inventories are in the best shape we've seen and I've been here, this is my 21st year, so I can speak from authority, they're in really great shape. We have one-tenth improvement in inventory plan for 2016 and Mark Holifield is here and I would say we might want to try to get even better than that, but that's the plan.
Mark Holifield - Executive VP-Supply Chain & Product Development: Just one thing, just color on inventory, one thing to keep in mind is last year we had the West Coast port disruption which led to artificially lower inventory, so we're actually very pleased with where our inventory is and on top of that, we're very, very pleased with where our in-stock is compared to last year which we're really seeing a material improvement in-stock versus last year because we're overlapping those port disruptions from last year.
Gregory Melich - Evercore ISI: Great. So it's fair to say the $10 billion of cash from operations might include a couple hundred million from working capital, but there's no massive move either way?
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: That's correct.
Gregory Melich - Evercore ISI: Okay, great, good luck.
Carol B. Tomé - Chief Financial Officer & EVP-Corporate Services: Thank you.
Craig A. Menear - Chairman, President & Chief Executive Officer: Thank you.
Diane Dayhoff - Vice President-Investor Relations: Thank you for joining us on our call today, and we look forward to reporting our first quarter earnings at the end of May when we'll talk to you then.
Operator: And once again, ladies and gentlemen, that concludes today's conference. We appreciate your participation today.